Operator: Thank you for standing by, ladies and gentlemen, and welcome to the Costamare Inc. Conference Call on the Fourth Quarter 2025 Financial Results. We have with us Mr. Gregory Zikos, Chief Financial Officer of the company. [Operator Instructions] I must advise you that this conference is being recorded today, Wednesday, February 18, 2026. I would like to remind you that this conference contains forward-looking statements. Please take a moment to read Slide #2 of the presentation, which contains the forward-looking statements. And I will now pass the floor to your speaker, Mr. Zikos. Please go ahead, sir.
Gregory Zikos: Thank you, and good morning, ladies and gentlemen. During the fourth quarter of the year, the company generated net income of about $73 million. Net income for the whole year was about $370 million with liquidity of $590 million. Executing on our strategy of securing long-term cash flows from high-quality counterparties in a healthy market environment, we have forward chartered 12 vessels from 4,000 to 14,000 TEUs, all commencing over the next 3 years with a TEU weighted average duration of 6 years. Incremental contracted revenues from the new charters amount to approximately $940 million. As a consequence, the fleet deployment now stands at 96% and 92% for 2026 and '27, respectively. Total contracted revenues have reached $3.4 billion with a remaining time charter duration of 4.5 years. With an idle fleet of less than 1%, the charter market remains strong with continued high demand for tonnage, a limited supply of vessels available for charter due to the ongoing shortage of ships. With respect to Neptune Maritime Leasing in which we hold a controlling interest, 54 shipping assets have been funded or are on a commitment charter basis with total investments and commitments exceeding $665 million. Moving now to the slide presentation. On Slide 3, you can see our annual results. Adjusted net income for '25 was about $376 million or $3.12 per share. Adjusted net income for the quarter was about $72 million or $0.60 per share. Our liquidity stands at $590 million. Slide 4. We have fixed on a forward basis 12 ships, securing incremental cash flows of $940 million. The average duration of the new charters on a TEU basis is 6 years. Following the above fixtures, our revenue days are fixed 96% for 2026 and 92% for '27, while our contracted revenues are $3.4 billion with a TEU-weighted remaining duration of 4.5 years. Slide 5. Regarding our financing arrangements, we have agreed the pre- and post-delivery financing of all 6 newbuild vessels. In addition, we have agreed to refinance 2 container ships at a substantially lower funding cost. We have no significant maturities till '27. Slide 6. On our leasing platform, we increased our investment commitment to about $250 million, out of which close to $180 million have been invested to date. NML has funded or committed to fund 54 assets for a total amount of more than $665 million. Finally, we continue to have a long, uninterrupted dividend track record. Moving to the last slide. Charter rates in the containership market remain at robust levels. The idle fleet remains at very low levels of 0.5%, indicating a fully employed market. With that, we can conclude our presentation, and we can now take questions. Thank you. Operator, we can take questions now.
Operator: [Operator Instructions] First question comes from Climent Molins from Value Investor's.
Climent Molins: I wanted to start by asking about your debt. You're currently generating very solid free cash flow. And I was wondering to what extent do you expect to conduct debt repayments on top of regular scheduled debt amortization. And obviously, this ties back to your investment expectations over the coming year.
Gregory Zikos: Yes. Thank you for that. Our -- on a net debt basis, our debt is at -- the company has a relatively low leverage, also considering the contracted cash flows, and we have always been repaying our debt quite prudently without having any backloaded debt payments. So I think the way it stands now, we have no reason to prepay debt earlier than the original maturity. We may be doing some refinancing here and there, but I don't think that it makes sense now based on the company's low leverage to prepay today any additional debt.
Climent Molins: That's helpful. And I also wanted to ask about how should we expect the amortization of deferred revenues to move going forward? Because there was kind of like a substantial increase quarter over quarter. Could you talk a bit about what drove that and whether we should expect this to continue?
Gregory Zikos: No, the deferred revenues, it's mainly an accounting treatment that sort of has to do with -- in case where there is an increase of -- or like a decrease of the charter hire for a long-term time charter. So it's mainly an accounting treatment. And I don't think -- I think that we should be focusing on the cash revenue basis. And we do provide an adjustment in order to arrive on a cash basis figure for the revenue. So I don't think that this is something that we have to worry about. And this is something that is dictated under U.S. GAAP.
Climent Molins: Yes, makes sense. It was simply to help us model a little bit better, but we obviously focus on the cash. And that's everything for me.
Gregory Zikos: Yes, it is mainly to streamline in case you have a decreasing or increasing charter hire during the tenure of the charter party in order to have a smooth payment. But this comes from accounting. We make an adjustment for revenues on a cash basis. So I think it's clear.
Climent Molins: Yes, it is.
Operator: [Operator Instructions] Seeing that there are no further questions in the queue, I would like to turn it back to Mr. Zikos for closing remarks.
Gregory Zikos: Thank you for dialing in today, and thank you for your interest in Costamare. We're looking forward to speaking with you again during the next quarterly results call. Thank you. Operator, we can conclude the call now. Thank you.
Operator: Thank you. That does conclude our conference for today. Thank you all for participating. You may now disconnect.